Operator: Welcome to Tucows Second Quarter 2025 Management Commentary. We have prerecorded prepared remarks regarding the quarter and outlook for the company. A Tucows generated transcript of these remarks with relevant links is also available on the company's website. We will begin with opening marks from Elliott Noss, President and CEO of Tucows Inc., followed by business remarks from David Woroch, CEO of Tucows Inc.; Justin Reilly, CEO of Wavelo; Elliot Noss on Ting; Ivan Ivanov, Tucows' CFO, who will discuss our financial results in detail, and we will finish with closing remarks from Elliot Noss. In lieu of a live question-and-answer period following these remarks, shareholders, analysts and prospective investors are invited to submit questions to Tucows management. Please send the questions by e-mail to ir@tucows.com until Thursday, August 14, management will either address your questions directly or provide a recorded audio response and transcript that will be posted to the Tucows website on Tuesday, August 26, at approximately 5:00 p.m. Eastern Time. We would also like to advise that the updated investor presentation and the Tucows quarterly KPI summary, which provides key metrics for all of our businesses for the last 6 quarters as well as for full year 2023, 2024 and 2025 year-to-date, and also includes historical financial results is available in the Investors section of the website. You'll notice that we are no longer adding new owned serviceable addresses and instead, partner serviceable addresses are seeing large additions. As we monetize owned fiber network assets in certain markets, you will see some of our owned serviceable address numbers moved to partner serviceable address totals where we have sold our network assets but will remain the ISP. That was the case this quarter as addresses from certain owned markets were sold and became partner serviceable addresses. Now for management's prepared remarks. On Thursday, August 7, Tucows issued a news release reporting its financial results for the second quarter ended June 30, 2025. That news release and the company's financial statements are available on the company's website at tucows.com under the Investors section. Please note, the following discussion may include forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ materially. These risk factors are described in detail in the company's documents filed with the SEC. Specifically the most recent reports on the Forms 10-K and 10-Q. The company urges you to read its security filings for a full description of the risk factors applicable to its business. Now I would like to turn the call over to Tucows President and Chief Executive Officer, Elliott Noss. Go ahead, Elliot.
Elliot Noss: Midway through 2025, Tucow's consolidated top line growth is continuing the trend of the last 4 fiscal years and first quarter, with a 10% year-over-year increase in Q2. Gross profit grew 6% year-over-year and adjusted EBITDA increased 37% to $12.6 million in Q2 and to $26.2 million year-to-date. Our year-to-date results put us slightly ahead of pace to achieve our full year adjusted EBITDA guidance of $47 million. Outperformance in both Domains and Wavelo drove the upside more than offsetting the corporate level expenses we expect to recognize in the second half. Corporate net debt now stands at $190.3 million, marking a fifth straight quarterly decline and bringing net leverage to 3.14x with interest coverage at 3.99x, comfortably within our covenants. Although we chose not to pay down the syndicated loan this quarter, that was a decision to preserve flexibility. Our long-standing record of steadily reducing the facility remains intact and capital allocation, whether we pay down debt or hold on to our cash for other purposes is a choice we make on a quarterly basis. We continue to navigate the path of thoughtful execution and choices of direction. And with that, I'll turn it over to Dave Woroch, CEO of Tucows Domains.
David Woroch: Thanks, Elliot. Tucows Domains delivered another solid quarter in Q2 with each of revenue, gross margin and adjusted EBITDA growing year-over-year. These gains build on the year-over-year growth and momentum in Q1 and highlight the steady, predictable and reliable nature of our business. In addition, we continue to build our registry services business and are pleased to share that we recently signed a contract with Radix, a registry operator to be their technical services provider. Planning is underway with the migration to our platform expected towards the end of this year. I will talk further about this exciting news in a moment. Revenue rose 8% year-over-year in Q2. Gross margin expanded 14% and adjusted EBITDA grew 12%. Through the first half of the year, adjusted EBITDA was $24 million and up 13% year-over-year, reflecting the operating leverage within the business within Domain Services, both wholesale and retail performed well. Wholesale revenue and margin benefited from healthy reseller demand and higher margin value-added services while retail posted steady increases in both top line and gross margin. Q2 revenue for the wholesale channel rose 8% year-over-year to $57.3 million compared to $53 million for Q2 of last year. Gross margin increased 15% to $15.7 million from $13.6 million last year. Within the wholesale channel, Domain Services delivered gross margin of $10.4 million, up 8% from $9.6 million in Q2 2024. The value-added services had another exceptional year-over-year gain in gross margin of 32%, delivering $5.3 million this quarter, driven by strong sales from our Expiry Stream. Our retail channel saw strong growth in Q2 with revenue increasing 10% year-over-year to $10.3 million. Gross margin expanded 11% to $5.9 million reflecting higher margins in the Retail Segment. As anticipated, total domains under management and transaction volumes declined modestly, down 2% and 3%, respectively, reflecting the continued impact of one reseller that has moved a portion of its portfolio in-house. The overall combined renewal rate for all TLDs across all the 2000 Domains brands was 75%, a slight decline from previous quarters, but within our normal historical range and above the industry average. Turning to our growth initiatives and returning specifically to our registry services business, we continue to build this business and add new clients, both small and large. In previous quarters, I've talked about being selected by NIXI, the National Internet Exchange of India and the registry operator of the in country code TLDs, we completed the migration of NIXI's 4 million domains to our platform at the end of May as planned and scheduled. Our engagement with Radix is equally exciting. Radix is an industry leader. They are the registry operator for a portfolio of 11 TLDs, including marquee extensions like .online, .store .tech, .site .space and .fun. Radix is widely recognized preparing great and meaningful TLDs with world-class marketing that drives broad adoption. Our teams have been collaborating and planning this project for some time now. In total, we will be migrating just over 10 million domains across the 11 Radix TLDs onto our platform towards the end of this year. Radix has the largest market share in the NGTL segment at 20%. As I've said before, we're focused on the profitability of our business. And while we do not focus on Domains under management as a key measurement, it is worth noting that this will lift the Tucows Registry segment to managing close to 17 million domains. This contract makes Tucows the infrastructure provider of choice for 2 of the largest registries globally and positions us as a strong contender for back-end registry services in the next wave of new gTLDs with applications starting in 2026. In summary, Tucows' Domain continues to demonstrate the strength of its core franchise, delivering consistent revenue, margin and the EBITDA gains while securing transformative contracts that help drive our long-term growth trajectory. Looking ahead, we will focus on the execution of the Radix migration the continued development of our hosting and billing initiatives, a disciplined pursuit of the new gTLD opportunities slated for 2026 and the ongoing operational excellence we are known for. Thanks for listening. And now over to Justin Reilly, CEO of Wavelo.
Justin Reilly: Thanks, Dave. The second quarter of 2025 now marks our best quarter since inception. Surpassing the record we set just last quarter. Wavelo's revenue was $12.7 million in Q2, an 11.1% increase from last quarter and a 20.5% increase from Q2 2024. Gross margin was $12.6 million this quarter, an 11.6% increase from last quarter and a 23.6% increase from Q2 2024. Adjusted EBITDA for Q2 was $5.4 million, an increase of 20.5% quarter-over-quarter and a 37% increase from Q2 2024. The growth year-over-year and quarter-over-quarter is fueled by existing customer subscriber growth as well as the new EchoStar rate card introduced as part of the 4-year renewal at the start of 2025. As a reminder, we experienced outsized revenue recognition annually in Q2 related to bundled professional services included as part of the platform services provided to EchoStar. Adjusting for this, revenues grew 0.9% compared to last quarter as we saw additional subscribers come on to the platform. Our Q2 results are a testament to our team's discipline and agility that we've continued to drive growth and profitability amid a dynamic macro environment on organic growth we are seeing continued momentum across Tier 1 and Tier 2 opportunities with several advancing steadily through our pipeline. We've made the conscious decision to deprioritize smaller MVNO and ISP opportunities where pricing pressure dominates and our enterprise-grade platform is underutilized. This both frees up our small but mining sales team's time to work larger deals and rightly focuses our R&D capacity with efforts consistent with our long-term growth strategy. The pipeline now consists of two distinct customer profiles, large greenfield MVNOs and ISPs and separately established Tier 1 and Tier 2 fixed and mobile operators that are constrained by chronic vendor lock-in. The latter cohort is one that will most benefit from an AI-first future, but it's unable to access its most valuable data and is underserved by today's AI solutions, which are mostly built for a general-purpose audience, Wavelo's Event Stream and Tier 1 grade platform are perfectly positioned to help unlock this future for large operators. On inorganic growth, many of our competitors were founded in the '80s and '90s, their business models, much like their technology. Were built for an era in which large human workforce is custom tailored software for not only each operator but for each line of business. If SaaS has started to disrupt this model, then AI will put it to bed. In the last 12 months, I've seen more businesses consider moving into a process than in the previous 3 years, largely due to aging business models and aging founders. I expect the next few years will be full of M&A as the cost to refactor old software stacks with AI races to 0. Last quarter, I talked about the important task of retraining the modern Internet workforce software engineers. I also shared that Wavelo benefits from a culture of curiosity, which acts as a tailwind in the face of generational change. For our most curious engineers, this means that more than 40% of their code is written by AI today as we roll out more powerful tools that are trained on Wavelo's code base rather than the aggregate code of the Internet, we expect adoption to increase. This is important as we've solved event-driven problems in our software that no one else has been able to solve, democratizing our expert knowledge across our engineering teams widens the aperture for efficiency and further lays the groundwork for Wave lows AI-first future. Thanks for listening. And now over to Elliot.
Elliot Noss: Thanks, Justin. Year-over-year, Ting's top line growth and large improvement in adjusted EBITDA continued in Q2. Revenue hit $16.4 million in Q2, a 12% increase year-over-year. Growth was driven by small ARPU improvements, growth in enterprise revenue and most impactfully, an 8% increase in subscribers, taking us to 52,100 total subscribers. Ting gross margin grew from $9.8 million to $10.4 million, excluding a onetime $2.7 million noncash lease accounting adjustment. Ting's adjusted EBITDA also continues to trend in a positive direction with a small loss of $600,000 in Q2, down from $6.4 million in Q2 of 2024. As above that loss is before the noncash adjustment I mentioned. I will also start to regularly, but likely not each quarter, share information on the part of the team business that is outside of the residential fiber ISP. This includes enterprise as well as fixed environment. Fixed wireless is primarily through our Simply Bits and Cedar acquisitions. I think this is useful for investors as it identifies a small but profitable element of the Ting business that is generally overlooked. I will refer to this as Enterprise and Other. In Q2 2025, this segment generated $3.9 million of revenue and $1.3 million in contribution margin, a $720,000 improvement year-over-year, driven by a significant reduction in people costs and continued growth in enterprise and bulk customers. We also signed a landmark contract with the third largest U.S. senior living operator that once fully online in 2027 will add 12,700 bulk units and over $6 million in annual revenue. As we flagged last quarter, we've been pursuing the sale of nonstrategic assets. These are assets that we had previously acquired or developed where we no longer have the capital to build. To this point, we have successfully sold nonstrategic assets for a total value in excess of $15 million in three separate transactions. These transactions covered noncore assets in Arizona and in our Cedar footprint in Southwest Colorado and Northern New Mexico. We place them in the hands of those who will build fiber in those footprints as appropriate. Our transformation from building networks to a pure play ISP is increasingly visible this quarter, particularly in reduced expenses year-over-year improvements in adjusted EBITDA and serviceable address tools. In our partner markets, Memphis and Colorado Springs, our partners are now delivering addresses consistently at the expected cadence and we are head down working on improved marketing in those 2 footprints. Last year, I spoke about pausing marketing to analyze which customer acquisition tactics delivered returns and which did not. That review is complete. And by late Q2, much of the structural work is also complete and we are now operating where we are not only again driving brand value, but also driving net adds. It is time to start building on winning tactics. Early Q3 metrics show subscriber momentum returning, and we view Q2 as the trough for net adds. Our marketing team is now fully staffed and executing at pace. And we expect the biggest near-term efficiency gains to come from applying AI tools that lower acquisition costs and improve conversion. Comparing June of this year to January of 2024, the last full month before we started to effect change, we see dramatic improvements in key KPIs in both direct marketing and door-to-door. We see CAC per order improving by nearly 40%, with people costs in marketing being cut by over 75%. And we increased conversion from the top of the funnel significantly, and marketing content is both better and produced more efficiently. We brought door-to-door in-house and have seen orders per rep increased by 20% and cost per order reduced by nearly 40%. Door-to-door is the most important tactic in fiber-to-the-home sales, and we are limited here only by our ability to recruit Finally, we continue to see the longer-term trend towards partnership models and infrastructure markets with KKR, BlackRock, Brookfield, EQT and many other major players all leaning into separating infrastructure construction for provision of services. We see this as a validation of our pivot and a tailwind for pure-play ISP models like Ting. Now you'll hear from our CFO, Ivan Ivanov, who will discuss our financial results in detail.
Ivan Ivanov: Thank you, Elliot, and thank you, everyone, for joining us today. I am pleased to report another strong quarter that demonstrates the strength and resilience of our diversified business model. The second quarter gets us firmly on the path we laid out at the start of the year of continued top line momentum, growing adjusted EBITDA and disciplined capital allocation. At the consolidated level, revenue reached $98.5 million, a 10% year-over-year increase, marking our fourth consecutive quarter of double-digit top line growth driven by strong contributions from each business unit. Gross profit rose to $22.1 million, up 6% year-over-year despite absorbing a onetime $2.7 million noncash lease expense adjustment at. Adjusted EBITDA expanded 37% to $12.6 million lifting year-to-date adjusted EBITDA to $26.2 million. That leaves us slightly ahead of the run rate required to meet our full year guidance of $47 million. Moving to each business unit's performance highlights. The Domains business continued to drive earnings with top line revenue of $67.6 million, an increase of 8% year-over-year. Gross margin grew 14%, driven by continued strong wholesale performance as well as increased contribution from both our retail channel and value-added services, which also includes our expiry auction stream. As a result, Domain's adjusted EBITDA improved 12% on year-over-year to $12.5 million. Wavelo recorded its best quarter to date. Revenue increased 21% to $12.7 million. Gross margin increased 24% to $12.6 million and adjusted EBITDA rose 37%, reflecting the upgraded rate card with DISH subscriber growth and reduced churn along with a careful cost control across the business. Moving on to Ting. Ting generated 13% revenue growth to $16.4 million on an 8% subscriber lift and higher ARPU. Gross margin was reduced this quarter to $7.7 million from $9.8 million in Q2 of '24 by the onetime lease expense adjustment I mentioned earlier. Excluding that item, margin will have risen but sequentially as well as year-over-year. Ting reported adjusted EBITDA loss of $3.7 million for the quarter. Excluding the impact of the noncash lease adjustment, Ting adjusted EBITDA improved by $5.5 million year- over-year. We remain hyper focused on bringing Ting's to profitability. And finally, the Corporate segment reported revenues of $1.8 million, down slightly from $2 million a year ago, with an adjusted EBITDA loss of $1.7 million. Moving on to cash and balance sheet. During the second quarter, we generated $6.6 million in cash from operating activities and ended June with $52 million in cash and equivalents as well as an additional $16.6 million in restricted cash and secured note reserve funds. Capital expenditures remained low at $3.5 million for the quarter, consistent with our shift to partner markets in fiber and we continue to recycle capital by selling nonstrategic assets. In fact, during the second quarter, we sold property and equipment along with inventory for total proceeds of $11 million. The sale resulted in a gain of $2.1 million. In addition, subsequent to the second quarter, we completed an additional sale of certain property and equipment and intangible assets for $7 million, generating a gain of $3.6 million, which will be reflected in the third quarter's results. Our corporate net debt as defined under our covenants fell to $190.3 million, down for the fifth consecutive quarter, giving us net leverage of 3.4x dividend and improved interest coverage of 3.99x and leaving us well inside our covenants. Separately, as of quarter end on a net basis, the Ting fiber business carried $289.6 million in asset-backed securitized notes and $122.2 million in redeemable preferred equity. Looking ahead, we have clear catalysts that give us line of sight to continued margin expansion. This includes the $10 million domain Radix migration to Tucows' domains starting in November, we loss continued momentum of growth and Ting pivot to a capital-like demand- driven model. These factors combined position us well to achieve our $47 million adjusted EBITDA goal while continuing to improve our corporate leverage. With that, thank you. And now I'll turn it back over to Elliot.
Elliot Noss: Thank you, Ivan. We finished the first half of 2025 with the company performing in line with expectations. Domain and Wavelo are ahead of plan, while Ting continues its significant transformation. Through the first half of the year, the economy is sending mixed signals with the shape of the yield curve and the stock market telling very different stores. I can list multiple economic indicators on each side of the ledger, but we continue to view the world as one where we should be prudent and conservative. We know our balance sheet does not reflect that yet. Our focus is on improving. Ting first half was defined by change. We reduced operating expenses by approximately 60% year-over-year. We further streamlined operations through the sale of smaller noncore footprints and simplified the business. Customer service has become more efficient while retaining industry-leading churn and high ARPU. We also completed a full reset of our marketing function after extensive testing, we're now ready to ramp spend again with a focused, efficient and data-driven approach aimed at reaching the right customers at the right time. This marks a fundamentally different posture from a year ago. Ting's team remains one of its greatest strengths as AI reshapes how work is done, for producing marketing content to better customer experience, to improving door-to-door recruitment. We believe our smart, committed workforce gives us an edge relative to both incumbents and smaller players like ourselves. More broadly, the U.S. fiber market is transitioning from hype to hard execution, with roughly half the country still to be built, capital is consolidating. Strategies are shifting and spreadsheet assumptions are being rethought. At the same time, demand continues to grow. Cable is losing ground to both fiber on the high end and fixed wireless on the low end of the market. While mobile convergence strategies remain prominent with only Ting actually offering a converged customer experience. And Ting customers with mobile churn 30% to 40% less. Ting stands out in this environment. Our churn is well below industry norms. Our penetration in many markets exceeds what others target long term. And our converged fiber mobile product uses mobile to drive fiber. Not the other way around. Our constraint is capital. Ting is lean, differentiated and resonating with customers, but our ability to scale is limited by our balance sheet. We are actively evaluating strategic path to unlock the value we've built and support long-term success. And with that, I look forward to your written questions and exploring areas that interest you in greater detail. Again, please send your questions to ir@tucows.com by August 14 and look for our recorded Q&A audio response and transcript of this call to be posted to the Tucows website on Tuesday, August 26, at approximately 5:00 p.m. Eastern time. Thank you.